Operator: Good day, everyone, and welcome to the Perion Third Quarter 2019 Earnings Conference Call. Today's conference is being recorded. The press release detailing the financial results is available on the company's website, at perion.com. Before we begin, I'd like to read the following safe harbor statement. Today's discussion will include forward-looking statements. These statements reflect the company's current views with respect to future events. These forward-looking statements involve known and unknown risks, uncertainties and other factors, including those discussed under the heading Risk Factors and elsewhere in the company's annual report on Form 20-F that may cause actual results, performance or achievements to be materially different and any future results, performance or achievements anticipated or implied by these forward-looking statements.  The company does not undertake to update any forward-looking statements to reflect future events or circumstances. As in prior quarters, the results reported today will be analyzed both on a GAAP and a non-GAAP basis. While mentioning EBITDA, we will be referring to adjusted EBITDA. We have provided a detailed reconciliation of non-GAAP measures to their comparable GAAP measures in our earnings release, which is available on our website and has also been filed on Form 6-K. Hosting the call today are Doron Gerstel, Perion's Chief Executive Officer; and Maoz Sigron, Perion's Chief Financial Officer; and Dan Aks, President of Undertone.  I would now like to turn the call over to Doron Gerstel. Please go ahead.
Doron Gerstel: Thank you, and good morning. For me, the third quarter results are more than just a strong set of financial data points that validity our strategy and operational progress. They are defining proof that we've transformed the very structure and foundation of our organization. When I joined Perion in 2017, our expense and capital structure was unsustainable for a company of our size. Our advertising offering was narrowly focused and search was in decline. In addition, we were reactive to changing market condition and lacked the technological innovation to differentiate ourselves in an evolving and competitive market environment. The results we're reporting today are a combination of our effort, relentless execution, significant investment in technology, financial discipline and a shift in corporate culture and buy-in from the entire organization into a strategy that demands accountability and innovative thinking. Over the years, the ad tech industry has no shortage of companies that have been able to raise significant capital to capitalize on industry trends to drive short-term growth. But with a few exception, this industry has lacked sustainably profitable investment opportunity. Over the past two year, we have repositioned Perion for a long-term profitable growth by strengthening our underlying financial structure and innovating our core technology to better align with the diverse and increasingly sophisticated needs of our customer. We've improved our balance sheet quarter after quarter, while simultaneously delivering on our guidance year after year and showing consistent improvement. We are executing with precision. Underpinning our success in our suite of solution that span across display, search and social, the 3 pillars of digital advertising. This suite makes Perion uniquely positioned to capitalize on opportunities whenever they emerge. We don't have to place bets because as brand and agency shift their ad budget holistically across different platforms and channels to maximize their digital strategy objectives, we have the products and services to capitalize on these movement.  This diversity is foundational to our long-term strategy, and it is the catalyst that will allow us to transition to a more sustainable, predictable and profitable operating model. During the third quarter, we generated more than $11 million of cash, increased EPS by 37% year-over-year and increased net income by 31% year-over-year. To put that into perspective, we generated more cash in the first 3 quarters of 2019 than all of last year, and we ended the quarter with more than $52 million of cash on the balance sheet, a net cash position of $33 million. We grew total revenue by 15% year-over-year in the third quarter, a clear indication that our strategy is working. We remain laser-focused on increasing our earnings and cash flow. When I joined Perion, search was considered to be a melting ice cube, where revenue decline was planned by design. The conventional wisdom was that assets should be minimally maintained and milked for short-term cash flow. Today, we reported our fifth consecutive quarter-over-quarter growth and fourth consecutive quarter of a year-over-year growth.  The investment we have made to turn this business around have not just changed the fundamentals of our underlying business but has changed the perception of an industry that was waiting for reinvention. We're excited to report that out of all search revenue, only 2% is left from the legacy business contributed by the merger we had with Conduit in 2014. Under the leadership of Tal Jacobson, we have built a deep moat around our search business and dramatically changed the revenue trajectory and business opportunities through innovation. Our offering has changed dramatically in the last 2 years. We were leveraging a sophisticated platform that uses big data and machine learning to provide publisher with the ability to integrate an embedded search functionality within their existing platform in a variety of different ways in order to augment and enhance the user experience.  As a result, we're mining 13 million search queries per day on a platform that provides meaningful insight to publisher who used it. The value proposition of our offering has changed from a quick revenue booster to a win-win offering that optimizes traffic monetization for higher RPMs, which in turn, translates into better earnings and cash flow for publisher and Perion.  We have created a virtuous circle where volume translates into quality and the unique searches we provide to Bing are providing insight to our customers. This dynamic is, not only positioning to attract higher quality publisher partners and expand our addressable market but is a key differentiator that provide a dynamic for sustainable value. Microsoft is pleased with the success that has resulted from the close collaboration. As a result, we're actively working on innovating the partnership in bold new ways. And in the fourth quarter, we are expect to launch our first codeveloped application with them. We believe this could further bolster our relationship over time, and particularly, as we look to formalize an extension of our current agreement. I want to turn to Undertone now. From my perspective, our advertising business is very much at the same point that our search business was just a few quarters ago, and we are nearing a major inflection point. I am confident that in time, the improvement we've experienced in search will begin to materialize in Advertising as well. Our ongoing, our ongoing investment in Undertone continue to advance as agency and brands are increasingly recognize the value of our synchronized digital branding solution. We have put a special focus on integrating Undertone's high-impact display and video offering with our social media platform to create a meaningful and trackable cross-channel advertising journey. Our new partnership with Pinterest, announced in the third quarter, enhancing our social media offering, provide us access to the largest social platform and allow us to provide better synchronization capabilities. During the third quarter, we appointed Daniel Aks, who was a member of the Perion Board, as the President of Undertone. Dan is a proven leader with a broad managerial expertise in technology business. He brings a demonstrated ability to drive success in digital business that need to master complex supply and demand dynamics and differ on the integration of data sales, operation and product to achieve an ideal market feat and dramatically accelerate business trajectories. Dan has been a key contributor in Undertone's new strategy direction, and it's an honor to introduce him to you on the call. Dan?
Daniel Aks: Thank you, Doron. It's a pleasure to be here. I joined Perion as President of Undertone after having deep involvement with the company and its prospects at the Board level. We're excited about the opportunities ahead, by the following 5 powerful drivers of future growth. First, Undertone is recognized in the market as a quality-obsessed, brand-safe ad network that partners closely with its Fortune 500 customers to provide the highest possible KPIs in a trusted publisher environment. Second, as the ability to attract users with cookies becomes less and less relevant due to privacy concerns, the role of creative and grabbing attention becomes more and more relevant. Undertone and its PIXL Studios have a reputation for creating high-impact ad units. Third, as you mentioned, our synchronized digital branding solution is resonating with our customers because they recognize the need to deliver strategically targeted messages across the entire consumer journey across multiple channels and platforms. Fourth, as we transition, we continue to prioritize margins, profitability and the development of long-term relationships with our clients over a short-term races for low-margin sale. A good example of this is our decision to replace our current alliance with Alphonso, a CTV provider with better and higher-margin alternative. In addition, proprietary creative unit in a brand-safe environment will support our margins. Lastly, our development efforts to scale Undertone's offerings are progressing as planned. And we remain on track to formally launch a full new product suite in the first half of next year. We remain laser-focused on driving Undertone's momentum and augmenting its revenue and earnings trajectory. I've made a career out of improving businesses and launching new growth directions, and I see significant untapped opportunity that I'm eager to exploit. With that, I'd like to turn the call over to Maoz to review the financial results of the third quarter. Maoz?
Maoz Sigron: Thank you, Dan. We are pleased with the strong results we achieved during the third quarter of 2019 and encouraged by the business progress we have made year-to-date. As a result of this continued progress, our net cash position continue to grow and has reached its highest level in the last 5 years. In the third quarter of 2019, revenue for Perion totaled $65.8 million, composed of $21.6 million from Advertising and $44.2 million from search and other revenues. Total revenues increased by 15% from $57.2 million in the third quarter of 2018. This increase was primarily achieved as a result of a 43% growth in search and other revenue as a result of additional publishers, higher RPMs and growing number of unique searches. Advertising revenue decreased by 18% as a result of the transition from selling formats to becoming integrated solution. However, despite the decline in revenue, Perion's gross margin in the Advertising business increased year-over-year as we continue to prioritize margin over short-term sales. Search and other revenues represented 67% of third quarter 2019 revenues, with advertising contributing 33%. Customer acquisition costs and media buys in the third quarter of 2019 were $34.2 million or 52% of revenue compared to $28.8 million or 50% of revenue in the third quarter of 2018. Net income for the third quarter of 2019 was $2.9 million or $0.11 per diluted share compared to $2.2 million or $0.08 per diluted share in the third quarter of 2018. Perion non-GAAP net income in the third quarter of 2019 was $5 million or $0.18 per diluted share compared to $4.3 million or $0.16 per diluted share in the third quarter of 2018. Adjusted EBITDA in the third quarter of 2019 was $7.6 million compared to $6.7 million in the third quarter of 2018. As of September 30, 2019, we had cash, cash equivalents and short-term deposit of $52 million compared to $43.1 million as of December 31, 2018. As of September 30, 2019, total debt was $18.8 million compared to $40.5 million as of December 31, 2018. This concludes my financial overview for the third quarter. I will now turn the call back to Doron.
Doron Gerstel: Thank you, Maoz. We're executing with precision and discipline. We've strengthened Perion's financial position, improved our balance sheet and are strategically managing the business to maximize earnings. Looking forward, I am confident that our advertising business is very much at the same point that our search business was just few quarters ago.  We're building a deep moat that will become clear over the next several quarters as has the moat around search, where our results demonstrate our capability to dramatically change the revenue curve through new leadership, significant technology investment and deep insight into the needs of the marketplace. We remain focused on building a more sustainable, predictable and profitable operating model. Based on our current visibility, we are reaffirming our full year guidance for adjusted EBITDA of $25 million to $27 million, and now expect it to reach or exceed the top end of the range. With that said, operator, will you please open the call for question. Operator?
Operator: [Operator Instructions]. We'll hear first from Eric Martinuzzi from Lake Street.
Eric Martinuzzi: Congratulations on the strong third quarter results. I wanted to particularly call out just not only the growth but the second sequential quarter-on-quarter growth there. That double-digit 15% growth is terrific to see as is the cash flow. I have a clarification, and then I would like to ask a couple of questions after that. The adjusted EBITDA performance was excellent in Q3. Certainly, it was well ahead of my own estimate, and it was about $2 million more than the consensus. Just you're comfortable with reaching or exceeding the high end of the old guided range, just why not bump up the range like you have done in the past? Is there some reason for why you're a little bit hedging on your guidance on the adjusted EBITDA?
Doron Gerstel: No, there is no reason, and we basically stated that we expect to reach and even exceed. I think that we always, we're building here trust, and we always would like to be under promise and over deliver, I think, as expected in this market. But I think the statement that we put about reaffirming the full guidance is a very, very strong statement.
Eric Martinuzzi: Okay. So really just conservatism, okay. On the Search side, terrific growth there, up 43%, and you talked about a couple of different levers that are driving the growth in search. I'm curious to know the mix right now. Obviously, your legacy business is really not a part of the equation anymore, but the mix between search publishers versus browser extension, can you take me a layer deeper there. You called out search publisher growth. But if I were to look at the percentage of search traffic right now, maybe, between browser extension and search publisher, what is that?
Doron Gerstel: Right. So first, thanks for the question because on the first time, at least, that as long as I'm on Board, we are trying to elaborate more about our search business. And first and foremost, let me reiterate the fact that the main, I think the main success that has to do with the company and one we look at it as bend of curve, but what is behind it, I think is even more impressive. The fact that not much left. I mean, 2 million out of, what is it, like above 150 on an annual basis is coming from the legacy. This is, by itself, a great milestone for the company or for the others that were very much looking about the legacy business that is being transferred, that has to do with the reverse merger that happened in 2014, and the company had to definitely reinvent itself when it comes to the search because what is very much passed through with this acquisition is not relevant anymore. And that's what was the main trigger of the decline of this business for years since the merger. And the company was repeated about it again and again. We understand back then, and that was early 2017, that this is definitely something that we cannot change, the decline of the tail. We cannot change because that's very much has to do with governance and things which is outside of our power to change. But we can do, and the whole idea was to come with a new stream of products that very much help us to change the decline and showing growth, and I think the numbers speak by itself as far as the fourth quarter that we're showing a year-over-year growth. That's a very, that's a very important one point. The second point, which I think is very much need to be noted, is the effort that we did in terms of the slice and dice, the data that we have, that creating a meaningful insight that we can share with our publisher, based on the growing amount of search that we deliver. 30 million searches a day, that's definitely be considered as a big data. And the question is, to what extent we're able to transfer back the value of it into our partners? And that's amazing work and effort that has been done on our side. And that being reflected, first and foremost, on the RPM. And RPM is, first, is being driven by quality of searches, the higher quality with higher intent, that gives you a higher RPM. And this effort's reflected on what we are doing. I don't think we can disclose the distribution on the different browser. That definitely will not serve the purpose for obvious reason, which has to do with competitive landscape. We rather leave it to us, but I can tell you that looking a bit ahead, even for this quarter, we are really exciting about what is going to happen because it's really the first joint solution where two companies team up to bring to market a first product. That's -- we are really excited about this opportunity that we're able to merge our technology, and definitely, Microsoft being understanding, what is needed. And we're looking in a very, very bright future on our Search mediation business unit.
Eric Martinuzzi: Last question for me is maybe -- well, first of all, Daniel, congratulations to you on your appointment as President of Undertone. One of the key next drivers from a financial perspective in the business is getting that Undertone, getting the advertising business back to growth. When you talk about launching a new product in the first half of 2020, is that the same thing as being able to financially model growth for the Advertising business in that same time frame? Or are they not necessarily related?
Daniel Aks: This kind of product suites will allow us clearly to garner new revenue and give us either a parity or competitive advantage over other customers -- other competitors that we deal with. It's hard for me to ascribe specific revenue to the suite of products that we are building right now, and it'll be ready in the first half. So it's hard for me to give you a specific thing other than to say we're confident of what we're doing is going to contribute to our growth.
Operator: We'll move next to John Nobile from Taglich Brothers.
John Nobile: Dan, congratulations on your position at Undertone. I just was hoping that you could talk a little about the success of your API business since its launch in early 2018. I see that -- I guess, a little over a year, it's already contributing approximately 10% to your search revenue, which was a pretty nice ramp up. I was hoping you could also talk about the [indiscernible] search revenue going forward?
Doron Gerstel: Yes. So we definitely talked about it, and I think I mentioned it in the previous -- and when I talked about it, it has to do a lot about what we are in the relationship that we have with our publisher. It very much has to do with the fact that we transfer a lot of insight to our publishers as far as how they're able to optimize their sites in order to get the most out of this integration. And so there is a huge progress here on two, let's say, two vectors. One, as far as what is our ability to have more and more publisher. And we invested a lot on a ramp-up and onboarding publisher because as you can imagine, there is a long, long tail of publisher that we can target, and we definitely need to automate this process, the onboarding process. That's one. So it's -- one effort is to get more of them in order to increase, of course, the percentage of our API business out of the entire search revenue. And this is one. The second effort is what we are providing them. So other than automatic onboarding platform that allows them to really monetize their site as fast as possible. We call it time to optimization. It's definitely what we are providing them as far as insight and data that at the same amount of content that they have, the same amount of traffic they're able to enjoy, a higher rev share that's coming through a higher RPM. So those are the 2 efforts that we are working at, and we're very pleased that our existing publisher able to do more with their existing assets. And at the same time, there is a tremendous effort on our end is to accelerate the adoption of new publisher. With that together, we're [indiscernible] growing the revenue of this segment of search.
John Nobile: Okay. I was hoping, I think in the presentation, you actually broke out over the last year or so. The contribution of the search, excuse me, to search that the API business percentage of, you have that broken out for the third quarter, what the API business was in regard to your total search revenue, a percentage maybe?
Doron Gerstel: Can you ask again? I didn't understand the last part of the...
John Nobile: Yes, I was hoping to get the percentage of the API business in regard to your search revenue. I know I think it was broken out in the presentation. It was, it ramped up to about 10% in a short amount of time. So I'm just trying to get an idea of the traction about, that we're looking at here.
Doron Gerstel: The traction is definitely positive, and we're expecting to exceed the number, has to do with a few other large publishers that we are targeting right now. I think it's too early to say and, to point here a number and how fast we will, to exceed the 10%.
John Nobile: Okay. Fair enough. And in September, you launched, what you call, the Synchromatic Marketplace. I was hoping you could talk a little about this and what you believe its potential is in growing your Advertising business?
Doron Gerstel: So one of the Synchronized Digital Branding and, as we like to call it, the marketplace and an evidence for it, it very much has to do with the fact that we are doing tremendous effort to incorporate our social platform into, what we describe as, the consumer journey, or what more specifically, we're basically saying, to what extent the our journey is very much in line with the consumer journey. And this effort requires definitely to plan and execute on different type of channels of advertising. This marketplace and the way they demonstrate is the partnership that we have with Pinterest. And our ability to get this valuable partner into the our synchronization marketplace. It allows us to develop a journey here, which definitely taking into consideration those audience, that their journey is very much crossing Pinterest and very much aligned with the funnel from, that we described before. So that's a great example of the marketplace.
John Nobile: I mean, this should lift all boats here, the, not just the advertising business, but it should benefit the Search business also.
Doron Gerstel: That's exactly the vision because at the end of the day, the idea that all those pillar will integrate it into offering. It's harder from a search standpoint. So the next to come, by the way, is in the marketplace, is integration with Amazon, which we definitely see it as a very important element, especially, for those e-commerce journey that are at least 1/3 of the campaigns that we are doing. So this is the next to come. We have quite ambitious roadmap as far as integrating more and more players, channels that are definitely relevant in our marketplace.
John Nobile: Well, that's good to hear. I just have one final question. I know that in the first month of your partnership with Alphonso, you had made mention of generating 28 RFPs and you grew your pipeline by 5 million. I was hoping that you might be able to put out any metrics, current metrics on this partnership, if there's any update on a change in those numbers? What does it look like today?
Doron Gerstel: So the overall trend is definitely continuing. We were quite, fact of the matter, really encouraging about the market reaction. At the same time when we're doing it, we were definitely looking at the margin. And that was the key decision for us to definitely not bind to 1 partner but to looking for others. And so from a financially, the trend is there, and we're expecting to have even higher margin on the revenue that is being generated that has to do with connected TV integration.
Operator: We'll hear next from Chris McGinnis from Sidoti & Company.
Chris McGinnis: Dan, congratulations as well. I apologize if these have been asked or if you mentioned this in the kind of your opening statements. I've been on a couple of different calls. But can you just maybe dig into the advertising business a little bit. I thought from last quarter, we were expecting to see maybe a little bit of more modest declines for the back half of the year. Just maybe talk about what maybe changed there? And again, I apologize if you already addressed this.
Doron Gerstel: No, I didn't address this, and more than welcome doing it. The point, the main, I think that the planning factor that we took in 2019 is definitely has to do with the transition that Undertone is going through. And we took, I think, one brave, but on the other hand, a decision of investing more on positioning Undertone on offering a solution, enhanced solution, rather than focusing on a single ad unit. And I think we described in previous call very much in detail the whole concept of the Synchronized Digital Branding. Why you believe on an ad journey rather than a single ad unit. That definitely set us apart, set us apart with all the movement that is happening in other ad tech company and other DSPs company, which very much focusing, as I mentioned, in 1 ad unit. This commoditization is something that we are avoid of playing it, and we are very much targeting luxury brands that are looking for quality, brand safety. Yes, we are more expensive than others in the market, but we're delivering way, way greater results. And any time when you are coming with this new concept, which is -- require a huge investment on our side, it also requires some education of our market, to what extent they are willing to invest on a different approach in their display video in a digital segment. That -- so we are, on one hand, we are really happy with the fact that it resonates, and it allows us really to capture the attention of some Fortune 500 clients, as we mentioned, that are investing million dollars and up on campaign with us. That has to do with the new positioning. On the other hand, I must say that this process of educating a market on this new concept is taking longer than what we anticipated. We think that, that require more and more training, more and more education, more and more proof points, and we're investing a lot about measuring and benchmark. Our KPI and performance of this campaign that is a journey-based campaign to other campaigns has no doubt, no doubt whatsoever, because it's clear on the performance that we have a superior solution. And now it's just matter of rolling it out to the field and get agencies and some extend brands, trying out and adopting the solution.
Chris McGinnis: Understood. That makes sense, actually. And I guess can you talk about the launch in the first half of next year, what is different than maybe the way you go to market? Can you just talk a little bit about the changes that you're expecting in the first half of the year with the new product suite versus where you're at today? Or how you're going to market?
Doron Gerstel: Yes, definitely. So it's been a long time, and we didn't -- we didn't launch it yet. But in 2019, we are working with actually five design partners on this solution. We're able to do some initial sales. So we're able to turn them into a paid customer on, what we called, an enhanced platform. So we were very much taking the foundation of the social platform, known as a Facebook management platform in F&P solution, and definitely enhance it to cross-channel platform. So the concept is very much enhance Undertone position and coming with the productization, or what we'd like to call it internally, we're stratifying the concept of what Undertone is selling, the Synchronized Digital Branding. That's the vision. And as Dan mentioned, this is -- we're planning a GA in H1 2020. And based on the initial response from our first customer -- paid customer and large customer that we are discussing it, we have all but being very, very optimistic on this effort.
Operator: We'll hear from a Private Investor, Derek Bobby.
Unidentified Analyst : Really encouraged by a strong quarter here, especially, with search and the continued free cash flow. Can you talk a little bit about the, can you talk a little bit about your estimate for free cash flow on an ongoing basis? And then how you see the optionality associated with that free cash flow? And if you're considering a buyback at this point?
Doron Gerstel: Great. So we're not providing estimate on the future cash flow, but I definitely, you're able to see the trajectory, and you're able to draw a line here without us giving a specific number. We are definitely expecting that the trend will continue. With that, we're fully aware of the fact that from a positive net cash situation, we surpassed the $30 million, we are reducing the debt substantially. And all in all, we reached over $50 million in cash. That's giving us great option, I must say, and we're looking on all direction.  And I can tell you that personally, management is looking for acquisition opportunities because we definitely want to accelerate market adoption of what we're selling. We truly believe that there are great opportunities out there to enhance our product offering. And that's our intention. And I'm very much glad that we are turn this very important tipping point from, in the positive net cash. For those of you who not remember, company had a negative cash for a long, long time, and I think we turned this point somewhere in 2018.
Maoz Sigron: '18.
Doron Gerstel: Which is a significant milestone, and since then, we are improving. We accelerate, and we were pay off completely our bonds, and we are reducing our debt, we consolidate all debt on 1 loaner. And now it's very much a time to look about all option.
Unidentified Analyst : Can you talk a little bit more about the process of becoming compliant with GDPR for Microsoft Bing and how that's positioned you relative to your competitors?
Doron Gerstel: Yes, definitely. So the GDPR or the CCPA, as you know, is not that applied for our business with Microsoft Bing because there is nothing that has to do with privacy, nor cookies or anything that has to do with targeting, retargeting that companies that are focusing on display advertising is facing. So that's very much not applied to Bing. However, and I want to hint and say that there is a lot of efforts between the 2 company that has to do with consumer safety. And I can definitely say that the joint efforts that we're doing on joint product is definitely in this line, where there is a huge effort from a Bing size to come with a secured browser and making sure that they are very much following this trend in demand that is coming from the consumer. But it's nothing to do with the GDPR or CCPA.
Unidentified Analyst: Then lastly, can you talk a little bit about the Captain Growth acquisition and how that fits into your overall structure?
Doron Gerstel: Yes, very much. Thanks for the question. So we are very happy with the integration of Captain Growth. Captain Growth is pivot to the success of our new platform. As I mentioned, we introduced it to our design partners and able to do some initial sales. Captain Growth, for those that don't remember, essence is, has to do with channel optimization. In other words, whenever you are offering across channel and you are dealing with before precampaign planning or even in-flight, means during campaign optimization. As far as what is the next best action. In other words, where I should put my next incremental dollar and where, in which channel I would invest this, that's when Captain Growth coming into play. And we are very happy with the integration. We are very happy with the fact that they're coming with a superior solution. We call it optimization center in our platform. That really resonates the way it's being done, and I don't want to go too much into it, but it has to do with a transparent versus black box that others are doing, tremendous, tremendous success of this acquisition.
Unidentified Analyst: I really appreciate it. I'm a private investor for the purposes of this call, but I do represent a larger institutional investor and hope to see you once you have a larger market cap on the institutional side. You're certainly garnering some attention from some institutional investors in the U.S. Great job.
Doron Gerstel: Thank you.
Operator: We'll hear next from [George Morano] from [Pareto.]
Unidentified Analyst: I had a couple of questions about 2020 Advertising. In 2020, there's a lot more spending in general due to the 2020 U.S. election spending and also the Olympics. Is that a plus or minus for your business? Or can you comment if it has any effect on your business?
Doron Gerstel: First of all, it's a huge plus, where spending is growing, and we are part of the pie. Fact of the matter, there are 2 things that we are doing. One, we enhanced our Washington D.C. office. We always had an office in D.C. And definitely, because of the election, we hired more people, and we're very much prepared for the election because the estimate is between $1 billion to $3 billion spend on digital, one. Second, the fact that we definitely have an arm and platform that can support social, together with what we're doing in display, and that's the marketplace of the Synchronized Digital Branding help us a lot because a lot of those political advertisers are looking to merge between the two channel: one is, the social; and the other one, in display. And I think that what we've seen so far in a smaller scale, and we believe that the spend will grow. That -- this combination -- the fact that we augment the two is helping us a lot. So this is one. As far as the Olympics, one of the things that we -- I think we shared back then is to do with our strategic partnership with Associated Press. This help us very much on the Winter Olympic games that we did the sponsor content together with AP, something that the market really liked. Again, a very unique product that we have to offer advertiser to tap on this type of event, and that's a good example. We strengthened our partnership with AP, and as I said, I think we're coming with a quite unique product to the market. So all in all, we are expecting that, that definitely will help us change and bend the curve on Advertising on these two events, which we are well prepared for.
Unidentified Analyst: And on the call earlier, you'd mentioned Amazon. And I wasn't clear. What are you doing with them?
Doron Gerstel: So first of all, it's not unique to us. Amazon has an open API. In other words, whenever you very much would like to use your advertising campaign as part of -- in Amazon as an advertising platform, anyone can do it. The question is, it is the context. And I don't know if you -- I'm sure you're aware, I think that this time, Amazon passed the $2 billion of digital advertising dollars. The context here is very interesting because while we are developing a journey, and we are very much monetized well -- or monitor well, where is the specific consumer in the journey, is finding out what is the right time for us showing them an ad on Amazon. Basically, targeting the same consumer. And so the fact that we are integrating with Amazon has to do with the context of the journey that we are pushing so hard is additional channel, underlying our ability to do the cross channel. So it's not the Amazon as a stand-alone effort. It's Amazon on the context of an ad journey. Is this clear?
Unidentified Analyst: Yes.
Doron Gerstel: Okay, thanks.
Operator: At this time, we have no additional callers in the queue. I'd like to turn the conference back over to Mr. Gerstel for any additional or closing comments.
Doron Gerstel: So the only comment -- the only closing comment here is that we're going to be in the States, and we're looking to see you and face-to-face and elaborate more on what we did and our plans for the future. And thank you very much for being on this call. Highly appreciated. Thank you.
Operator: That does conclude today's teleconference. We thank you all for your participation.